Yuuko Kurabe: We would like to begin the 2024 explanation of our earnings and also the new medium-term management plan. I'm your moderator today. I'm from Corporate Communications. My name is Kurabe. Thank you very much. Before going into the explanations, let me introduce today's participants. President, CEO, and Representative Director, Katsuaki Watanabe; Executive Vice President and Representative Director, Shitara Motofumi. Today, we'd like to give you an outline of our business results, then explain our new medium-term management plan. After the presentations, we will take questions from the media, and then there will be time for photographs. We plan to end at 16:45. And today's materials can be found on the Yamaha Motor Corporate site. Now, let's begin the earnings presentation. Mr. Watanabe, please.
Katsuaki Watanabe: I'm from Yamaha Motor. My name is Watanabe. Thank you for taking time out of your busy schedule to attend Yamaha Motor's explanation meeting today, and I'd also like to thank you for your constant understanding and support of our business activities. Thank you. Now, please let me give you an overview of our business results. First, the key points of our business results. Please turn to Page 4. Our 2024 business results, year-on-year, we saw increased revenues, lower profits. Compared to the revised forecast we announced on November the 6th at our third quarter business results announcement, we saw lower revenues and profits. Revenue, thanks to higher unit shipments in motorcycles and the weaker yen, increased from the previous year. Profits fell approximately JPY62 billion from last year. Approximately JPY50 billion of this is transient impact, such as expenses incurred from reviewing unprofitable business structures, impairment losses on fixed assets, and quality-related provisions related to recalls. In addition, in markets where conditions deteriorated, we saw lower sales accompanied by decreased production and higher SG&A expenses, which had a major impact. This time, compared to the revised forecast announced in November, the one-off expenses I just touched on and marine products and motorcycle sales not growing as expected led to lower revenues and profits. However, in our core motorcycle business, with continued steady demand, our company's sales are also expected to be favorable. In the marine business, in demand, we expect a gradual recovery with outboard motor inventory levels improving. From production to sales, the flow is expected to normalize. Regarding the environment surrounding our group, with the global economy remaining uncertain, the unclear situation is expected to continue, and in sluggish markets, business recovery is expected to be gradual. In addition, raw material prices and labor costs are on a rising trend, so the tough situation is expected to continue. This being the situation. In our core motorcycle business, by promoting premium strategies and in the marine business, watching market trends, we will expand our production and sales. In robotics, generative AI-related demand will continue to be strong. Regarding our main product, mounters, from the second half, we expect the China market to recover. In our RV and SPV businesses, business structure reviews will reduce our deficits, but unless the market environment shows major improvement, the tough situation is expected to continue. And our RV business, from fiscal 2025, will be integrated with our golf car business, formerly part of other businesses, to become the outdoor land vehicle business, or OLV. This business integration will aim to make operations efficient, and by function, we will engage in business structure reform. In this way, through management focusing on the break-even point, while reducing costs and enhancing productivity, we will promote development and investments for the future. And in 2025, our plans are for revenue of JPY2.7 trillion, and operating income of JPY230 billion, that's higher revenue and higher operating income. Regarding shareholder returns, annual dividend of JPY50 per share and share buybacks of JPY10 billion, with a total payout ratio of above 40% in mind, we plan for stable and continuous returns. Next, unit sales and inventory levels. Please turn to Page 5. On the left, unit sales by main products compared to 2023 actuals. There was outstanding growth in Brazil and India, where we saw growth in unit sales. And our premium model supply was stable in Indonesia, where unit sales also increased. In outboard motors, demand blunted off. For appropriate inventory levels, there were production adjustments, leading to a decline in unit sales. In ATV ROV, demand decelerated, and competitors' aggressive pricing led to unit sales decreasing. In SPV, in the bicycle market overall, excess inventories continue, and our company's unit sales are also down. In mounters, for the Asian markets, unit sales increased, doing better than the previous year. The graph on the right shows market inventory levels compared to appropriate levels. Demand continues to decline in Thailand and China, and ATV ROV. Due to continued production adjustments steadily, inventories are decreasing. In India, inventories have switched to a slight increasing trend, but there is strong demand and should quickly return to appropriate levels. And in Vietnam, targeting the Lunar New Year Tet holidays in late January, inventories increased. Regarding outboard motors, steadily, we have been decreasing inventories. Targeting next season, in the fourth quarter, we promoted shipments, but demand did not recover as expected, with inventories increasing slightly. Next, our 2024 business results overall. Please turn to Page 6. Regarding our 2024 business results, revenue was 107% versus the previous year at 2,576.2 billion. Operating income was 74% versus the previous year at JPY181.5 billion. The operating income ratio was down 3.1 points from the previous year at 7%. Net income attributable to owners of the parent was 68% of the previous year at JPY108.1 billion. EPS was 70% versus the previous year at JPY110.12. Regarding our revenues and operating income, as I explained at the beginning, revenues increased while profits declined. Our net income, due to lower operating income, declined. The prevailing exchange rates were $152 and EUR 164. Next, factors affecting our operating income by factor. Please turn to Page 7. Regarding the lower profit, approximately JPY50 billion is due to one-off factors. On this slide, you can see the breakdown. Business structure review-related inventory write-downs and production compensation costs came to approximately JPY23 billion. In the RV and SPV businesses, partial fixed asset impairment came to approximately JPY6.5 billion. Due to recalls, quality-related costs came to approximately JPY23 billion. In 2025, these one-off factors should have a positive impact. That's the plan. Regarding factors affecting operating income, the main factor is sales effects, negative JPY49.3 billion. The breakdown is selling price increase, positive JPY7.7 billion. Unrealized profits, positive JPY57.5 billion. Financial services, positive JPY8.1 billion. Scale effects, positive JPY0.2 billion and others, negative JPY122.7 billion. Net cost impact, negative JPY1.2 billion, of which cost reductions, positive JPY14.6 billion, cost raises, negative JPY15.8 billion. And growth strategy expenses increasing, negative JPY7 billion, SG&A expenses increasing, negative JPY42.2 billion. Others, including equity in earnings, losses of affiliates, negative JPY3.8 billion. Exchange effects came to positive JPY41.1 billion. Next, 2025 forecast. Please turn to Page 8. In addition to reaction to last year's one-off factors, higher sales in core businesses, our premium strategy and loss-making businesses improving profitability will lead to revenue and profits doing better than the previous year. Revenue, JPY2.7 trillion. Operating income, JPY230 billion. Operating income ratio, 8.5%. Net income attributable to owners of the parent, JPY140 billion. EPS, JPY143.21. That is the forecast. We used foreign exchange rates of $145 and EUR 155. Next, our 2025 factors affecting operating income. Please turn to Page 9. As you can see, we forecast sales effects of positive JPY59.2 billion. The breakdown is price increase, positive JPY12.7 billion. Unrealized profits, positive JPY10.4 billion. Financial services, positive JPY1.1 billion. Scale effects, positive JPY62.2 billion. Others, negative JPY27.2 billion. That's the forecast. Net cost impact, negative JPY10.9 billion. The breakdown is cost reductions, positive JPY19.5 billion. Cost raises, negative JPY30.4 billion. Plus, SG&A decreasing, positive JPY15.8 billion. Others, including equity and earnings losses of affiliates, positive JPY9.5 billion. Exchange effects, negative JPY25.1 billion. That is the forecast. Next, I'd like to explain our returns to our shareholders. Please turn to Page 10. In 2024, as we announced, we plan on annual dividends of JPY50 per share. This means from 2022 to 2024, our total payout ratio, three-year cumulative figure, is 46.9%. Therefore, the target we declared in our previous MTP has been achieved. In our new MTP, our shareholder return policy will be explained later in the new MTP presentation in 2025. Annual dividends of JPY50 per share and share buybacks of JPY10 billion are planned. We will continue to strive for stable and continuous returns for our shareholders.
Shitara Motofumi: Next, I will explain the details by business segment. Here are the fiscal 2024 revenue and operating profit by business. Please refer to Page 12. In land mobility business, motorcycle and financial services business had higher revenue and profits. Marine business had the revenue on par with the previous year and lower operating profit. And robotics and other business had higher revenues, but their operating profit declined. RV and SPV businesses had lower revenues and operating losses. Next, fiscal 2025 forecast on revenue and operating income by business segment. Please refer to Page 13. Starting from fiscal 2025, there will be some changes in the segments. As I explained it in the beginning, RV will be integrated with the golf car business, included in other businesses, to establish outdoor land vehicle business or OLV business. The MC business in mobility business was called two beavers business in Japanese, but it's renamed as motorcycle or MC business. The forecast for fiscal 2025, we expect to see higher revenues and income for MC, marine, robotics, financial services businesses. ORV business is expected to have higher revenue but operating loss. There will continue to be businesses that are expected to have operating losses, but the deficit will be narrowed. And here are the details by business segment. Please take a look at Page 14 and onward. Firstly, the core business, motorcycle business. The chart on the left shows the total demand of 2024 in major regions compared to a fiscal 2025 forecast. The chart on the right shows the revenues of the past two years and fiscal 2025 forecast. In 2024, the sales volume increased in mainly in Brazil and India, where demand was strong, leading to higher revenue. On the other hand, operating income was on par with the previous year due to the increase in personal costs and SG&A expenses. In the fourth quarter, significant amount of quantity related cost was incurred and lowered operating income ratio compared to the previous year. In fiscal 2025, with the premiumization of products in emerging markets, demand increase in India and the Philippines, and the launch of the new model of AEROX in Indonesia, we plan to increase revenues and income. On the other hand, profitability is expected to be on par with the previous year due to higher raw material costs and the increase in investment for the future. Now, I would like to introduce to you the new motorcycle model, and here the slide shows the new model called Aerox Alpha, which was launched in Indonesia in December 2024, and it adapts the same new transmission with another recently launched model of NMAX. It realizes the powerful acceleration to allow riders sporty driving and enthusiasm that is unique to Yamaha. With the launch of the new model, we will continue to promote the MC business, so please stay tuned. Next is marine business. The chart on the left top shows the year-on-year or outboard motor detail registrations in the United States. The chart on the right top shows the revenue of each product. In 2024, with the demand decline, our sales was also lowered as a result of the production reduction due to the inventory adjustment, as well as an increase in SG&A expenses, we have lower revenue and profits. In 2025, the demand in the United States, the main market of our outboard motors, is expected to be slightly lower than the level in fiscal 2023. It's expected to recover gradually. In addition to the demand recovery, inventory improvement will help to gradually normalize the flow from production to sales. Based on that, we plan to make higher revenue and profits. We also plan to expand the sales of F350 that was launched last year. On the other hand, we plan to expand our investment for sustainable growth, such as development to enhance product lineup to meet market demand and strengthening of production capacity for larger models. Therefore, profitability is expected to be on par with the previous year. Next, SPV business and robotics business. Please take a look at Page 17. On the left-hand side, SPV business is explained. In 2024, the sales volume of the e-bikes in Japan exceeded that of the previous year. On the other hand, the prolonged demand stagnation in its main market in Europe pushed down the overseas sales volume of e-Kits, and their production volume was far lower than that of the previous year. Furthermore, the expenses to withdraw from the complete SPV market in the North America and the impairment of fixed assets were incurred, and we had lower revenue and profits. In 2025, the demand is expected to recover. The market conditions will continue to be difficult. By focusing more on our strength in e-Kits and domestic finished vehicle market, we aim to improve our profitability. Next, on the right-hand side, robotics business. In 2024, sales growth of generative AI applications and the semiconductor back-end equipment helped to mark higher revenue. On the other hand, due to the increase in the cost of manufacturing and development and SG&A expenses, we had operating loss. In 2025, the demand for generative AI-related products will remain strong. The demand for mounters in its main market, China, is expected to recover in the latter half of the fiscal year and beyond to mark higher revenue and profits. Lastly, OLV business and financial services business. Please look at Page 18. On the left-hand side, OLV business. In 2024, LSM business increased its sales volume due to the increase in demand in North America. On the other hand, RV business so reduced sales due to higher market inventory and ensuing intensified competition. Furthermore, deterioration of model mix, higher SG&A expenses, and impairment of fixed assets were incurred to result in decreased revenue and profits. In fiscal 2025 and onward, we expect to see severe competitive conditions in the market for RV business, but through business integrations and efficiency enhancement, we will improve profitability. Next, on the right-hand side, financial services business. In 2024, with an increase in receivables due to higher sales volume and the impact of valuation gains of interest rate swaps, we had higher revenue and profits. In 2025, we will maintain profit ratio by appropriately managing business risks, such as funding rates and allowance for bad debts, and we expect to see increased revenue and profit from greater retail receivables by selling more units. And that concludes the explanation on the business results for the full fiscal year ending December 31st, 2024.
Yuuko Kurabe: Next, before moving into the explanation of our new medium-term management plan, we would like to have Watanabe explain to you about a change in management.
Katsuaki Watanabe: Yes, Shitara Motofumi, as of March the 25th, will be our next President and CEO. At the Board of Directors meeting today, we have decided on this and we wanted to announce this to you. From myself, I'd like to explain why Shitara and why at this point in time. Regarding these two points, I'd like to explain. First, why Shitara? And there are mainly two points. First, he has broad business experience and second, Shitara himself is an avid Yamaha fan. Those are the two points. And Shitara, since joining our company, he started out in domestic motorcycle route sales and then he took charge of motorcycle product planning. Customizing your bike was the market trend at the time and he incorporated this in his promotion activities. Through a TV drama, our TW200 took the world by storm and he was the one who started it all. After that, in our company-wide brand promotion division, then in marine engines, in product planning and business planning. He has served in our backbone businesses while experiencing such diverse business. He gained what's one of our company's action guidelines, persistence. And from 2018, for four years, at one of our key sites, our India Group company, he served as the Chief Executive Officer. And earlier on in our earnings presentation, I just explained our motorcycle premium strategy. And during this time, he pushed this strategy forward, building the foundations of today's India motorcycle business for our company. And the second reason we have chosen Shitara is, Shitara himself enjoys Yamaha's products, enjoying them as his hobby. In his private life, he enjoys motorcycling. Our corporate mission is condor creation. And he himself leads a life that enjoys this. He is an avid Yamaha fan, second to no one else. He has outstanding energy and drive. His achievements in penetrating the market with our company's values and his collaborative abilities led to his selection as President and CEO. Next, I'd like to explain why this timing. Last year, as of September 30th, when our previous President, Hidaka Yoshihiro, suddenly resigned to secure business continuity. For the time being, myself, who was Representative Director, also assumed the position of President. And Shitara, who was in charge of the corporate side, became Executive Vice President. After that, our outside Directors and myself, at our executive personnel committee, we utilized, for example, third-party assessments, held discussions from an objective point of view, and decided to propose Executive Vice President, Shitara, as our next President, putting it to the Board of Directors. This time, personally, at the March, General Meeting of Shareholders. After making a summary report of our most recent business year, I'd like to hand on the baton to our new President, Shitara, leaving it to him to execute our new medium-term management plan. That's all from myself. And next, from Shitara, he would like to say a few words to you all.
Shitara Motofumi: Good afternoon, everyone. I am Shitara Motofumi. As I assume the position of the next President, I would like to share with you my aspiration for the company. I want to lead the company to be a sturdy company that is resilient to changes. I will increase the presence of Yamaha brand further so that customers will continue to choose our products, regardless of the changes in the market conditions. To do that, it's critical for us to improve technologies that will be passed on to the next generations and to innovate with our technologies and businesses. Our core technologies will be, firstly, energy management, then intelligent system, and finally, software services. They will be the starting point for us to aim for the innovation unique to Yamaha. In the last mid-term management plan, we set the sales target of JPY2.2 trillion to grow one level higher as a company. And we could achieve the goal of with JPY2.4 trillion in sales two years ago, a year ahead of the target year. However, the business result of last fiscal year was a difficult one because we couldn't achieve the target operating profit and net profit. But if you look at the demand in the post-COVID environment, it seems like there are more customers around the world who wish for enriched life, mental well-being, and happiness through self-realization. This is a great opportunity for us as a company that creates products to enrich time and activity for leisure and play. I often tell our employees to have fun using our own products and physically touching them and enjoy their free time. In other words, I tell them to play in earnest. And it's important for them to think and use their mind at work. And that will lead us to understand customer need and to inform them of our values and lifestyle. Our purpose is to be a Kando creating company. I consider Kando the energy of life. And I will create a company that generates energy of life together with all of our stakeholders. Thank you.
Yuuko Kurabe: We'd like to continue from Shitara. We would like to explain our new medium-term management plan. Shitara -san, please.
Shitara Motofumi: Next, I would like to introduce our new medium-term management plan for 2025 through 2027. First, I'd like to give a general overview of the new MTP's basic policies, followed by an explanation of the strategies for each business and then our strategy for non-financials. Yamaha Motor was founded in 1955 as a mobility manufacturer by Genichi Kawakami from his desire to make making enjoying daily life commonplace. Our efforts to do just that through diversification of the business centered around outdoor recreation, challenging ourselves to push into global markets, creating new demand and creating new value from a sustainability perspective led to our subsequent growth as a company. This year, Yamaha Motor celebrates its 70th anniversary. We will continue to offer products and services that enrich people's lives and spirits. As the Kando creating company, we will continue to grow. Our corporate mission is to be a Kando creating company and our long-standing management principles and action guidelines have been the foundations of our business activities. In 2018, as our long-term vision for 2030, we announced art for human possibilities. Let's strive for greater happiness. This new MTP in our long-term vision comes at the beginning of the second half's six years. Here, I'd like to take a look back at the changes in the business environment since we announced our long-term vision in 2018 and also review our previous MTP. Over the past six years, which included the COVID-19 pandemic, our business environment has experienced significant changes. The main changes affecting our business operations are increased market volatility, accelerating digitalization, the worsening effects of climate change, diversifying values, and increasing multi-polarization on a national and regional level. Against this backdrop, in our MTP, we implemented portfolio management. For our core businesses, the return on sales or ROS was 13%, exceeding the target of 11%. That was mostly thanks to growth in the highly profitable marine product business and higher profitability in emerging motorcycle markets. With our new and growing businesses amidst the fluctuating demand, we were unable to reach our compound annual growth rate growth target. Regarding our company-wide structural reforms, over the past three years, we have withdrawn from certain businesses and merged or absorbed group companies, steadily implementing the structural reforms we originally planned. This shows you the basic policies of our new MTP. In establishing these policies, we singled out three prime issues and directions. The first is stabilizing our business profitability. To enhance our resilience against market fluctuations, we will strengthen our competitiveness and grow our market presence. The second is addressing technological innovation. The pace of technological advances is rising, and it's essential that we constantly take on new challenges to raise our own competitiveness. We will therefore make investments towards acquiring new technologies. The third is the speed of our responses to market needs. For us, to respond to customers' needs that vary by country and region, as well as to meet environmental and regulatory requirements in locations closer to the market, will bolster our research capabilities for discovering needs, and will work to globalize the delegation of responsibilities and authority to enable faster responses. The basic policy encompassing all of these for our new MTP is as follows. Raise the competitiveness of our core businesses, acquire new technologies that expand human possibilities, and take on uniquely Yamaha Motors challenges to create a world where people's happiness and the environment coexist in harmony. Before getting into the details, I'd like to provide a general overview of the new MTP. As our primary business portfolio strategy, we'll focus on our core businesses and strategic businesses. The growth businesses and structural reforms quadrants that we established in the previous MTP will be eliminated. The robotics business, smart power vehicle business, and newly established outdoor land vehicle or OLV business, which combines the recreational vehicle and our golf car businesses, will be our three strategic businesses. Under these, to strengthen the competitiveness of our core and strategic businesses, to connect us to our next stage of growth, are our technology strategy, DX strategy, and financial services business. Our financial strategy points the way for resource allocation to these businesses and functions. Finally, supporting all these efforts and ensuring we carry out sustainable management practices are our sustainability foundations comprised of environment, human capital, and risk compliance policies. On the right, are the new MTP's financial indicators. In terms of revenue, we aim to achieve over 7% in annual growth rate, reaching more than the JPY3.1 trillion by 2027. The target ROS is a three-year average of over 9%. In addition, with the goal of continuously generating returns exceeding the cost of capital, we're aiming for an ROE of 14$, ROIC of 8%, and ROA of 9%. For shareholder returns, while taking into consideration the outlook for business performance and investments for growth, we will pay continuous and stable dividends. And based on the scale of our cash flows, we will also distribute returns to shareholders in a flexible manner with a target total payout ratio of over 40% for the cumulative period of the new MTP. These are the main initiatives we'll focus on with the new MTP along with their KPIs. With this new plan, we will reinforce the competitiveness of our core businesses. These businesses exceeded the ROS target we set in the previous MTP, but we also had external factors like foreign exchange rates serving as tailwinds. Going forward for our core businesses to continue growing and turning a profit, quickly understanding market needs, refining our technologies, and enhancing the appeal of our products is important. In the motorcycle business, particularly in the Asian region and emerging markets, in the premium model segment, we'll strive to expand our market share. In the marine products business, we'll strengthen our lineup of large outboard motors of 150 HP or more. In line with this, we'll also strengthen our production capacity towards increasing the sales ratio of outboard motors, large ones. For our core businesses, the three-year average ROS target is 14%. We expect the U.S. market to keep growing, where in about half of the total population, a culture of enjoying outdoor recreation has taken root, making enjoying daily life commonplace. For Yamaha Motor, founded on this very idea, we believe the American market holds massive potential. In this market, we'll strengthen our marketing efforts while including in-product development and manufacturing, accelerate localization. For the entire global market, we expect capital investment to be 1.3 times that of the previous MTP. During the new MTP, we continue to view inorganic growth as essential, and just as we have in the past, are preparing the funds to enable large-scale M&As. Next, let me go over our company-wide technology strategy for achieving our new MTP. Until now, centered on powertrains, electronic control, manufacturing, and chassis and hulls, on our four core competencies, we have been developing a diverse range of products, creating Kando. However, to respond to recent rapid technological innovations, diversification of people's values, and proliferation of digital products, we need to acquire new core technologies. At Yamaha Motor, we have defined software services, intelligent systems, and energy management as our three new core competencies. Under our unique Jin-Ki Kanno development philosophy, we have conducted human research. By combining with our new core technologies and our mainstay core competencies, we will develop and deploy products and services that expand human possibilities. Our technology vision is pursuing fun and solving social issues to create our future. To realize this vision, during the new MTP, we will work to strengthen our new core competencies, including for our current core competencies, total R&D expenditures for the period will be raised by JPY130 billion over the previous MTP to JPY490 billion. Now, please let me explain the direction of our business portfolio for the new MTP. Yamaha Motor uses compound annual growth rate for revenue and return on invested capital, or ROIC, to manage its portfolio. Please note our business ROIC does not include corporate expenses. Therefore, the hurdle rate to account for the financial service business and said corporate expenses is set at 12.5%. In the future, we aim to have all of our businesses surpass this rate. For our core businesses of motorcycles and marine products, we will conduct targeted investments offering attractive products and services to secure both growth and profitability. In our strategic businesses of robotics and SPV, the slow recovery of demand made 2024 a difficult year in terms of results. Still, medium to long term, these markets have excellent potential for growth. Keeping the use of M&As in our sites, we will establish ourselves as one of the industry's top three players. For the outdoor land vehicle business, we project the ROIC, even in '27, to still be below the hurdle rate. However, the North American outdoor recreation market has enormous potential. So, we will build foundations and with 2030 as the target year, aim to improve our rate of growth and ROIC. Regarding our new businesses, while taking careful measure of business expansion potential in agriculture, mobility services, and low speed vehicles, we will focus on building up our enterprises. Next, I will explain how we will allocate our management resources. In our new MTP, in our core motorcycle and marine product businesses, with the focus on bolstering our new model development and production capabilities, with an eye on 2030, we will up investments. For these core businesses R&D expenses, compared to the previous MTP, we will allocate an additional JPY75 billion, totaling JPY290 billion over the full three years. Regarding capital investments over the last MTP, we will dedicate an additional JPY76 billion for a total of JPY234 billion.
Katsuaki Watanabe: Now, I will cover the strategies for each of our businesses. I will talk about the core business of motorcycles. The MC business is seeking to bring joy into mobility and fun into holidays, together with our stakeholders. And for the new MTP, we will be working to deploy an attractive model lineup and strengthen user services that leverage digital technologies. Regarding investment for businesses, we will increase R&D spending and capital investment by 1.2 and 1.4 times, respectively. We will also bring full model updates to over 20 models. For Asian and emerging markets, we have been focusing on a premium model segment strategy for some time now, and we will further strengthen our efforts here. Also, in order to recover and further grow our market share, which declined amid the chaos of the COVID-19 pandemic, we will gradually introduce the market models incorporating new platforms and concepts. What drives the brand power of Yamaha MC business is developed markets. We will offer products and services that bring joy into mobility and fun into the holidays, and work to raise our market presence. To bolster our marketing capabilities, we will set ourselves apart by co-creating together with our stakeholders. To build strong ties with each and every customer, we will offer opportunities to enjoy our products to the fullest and high-quality service and other real-world experiences paired with digital technologies. As for electric vehicles, we'll drive both in-house platform development and external collaborations. In developing our own platforms, we'll move forward ensuring our products carry on the brand image Yamaha has built up to date. For external collaboration, we will collaborate with the startup companies and also co-develop technologies with them. Lastly, our KPIs for the business by 2027 are CAGR in the 6% range, ROS in 10% range, and ROIC in the mid-20% range. Next is our marine products business. The marine business long-term vision is a reliable and rich marine life toward further increasing the value of the ocean, and we are working to address issues in the main marine space. During the new MTP, we will strengthen our lineup of large outboards and push forward with our integrated boat business in pursuit of greater value for our customers. In terms of the business investment, we'll spend 1.7 times and previous MTP on R&D and 1.0 times more for CTs and equipment. And with the greater roles of U.S. operation we'll play, we will also be building up our human resources. And with outboard motors, the market for premium large outboard is expected to keep seeing higher demand, and we will train our focus on this segment by introducing new models, boosting production capacity, and increasing the ratio of large outboards make up in our overall sales. We're also seeing more diversity in uses with personal watercraft. We view this shift as offering new chances for business, and we will be introducing models using new platforms. And we will increase our production capacity and strengthen our global sales tunnels in order to expand our sales skills towards 2030. In the integrated boat business, we will continue build on case strategy, and we have in place to anybody can enjoy rich marine life. To make that happen, we will transition more on our R&D roles and responsibilities to the U.S., our largest market, and have our Japanese and American co-operations work in close collaboration to accelerate development. We'll also increase value for customers by making a wide variety of boating experience possible, such as introducing next generation assistive boat control systems for auto cruising and boat safety, leveraging connecting technologies, providing boat sharing platforms, and expanding our sales of electric outboards. The KPI for business by 2027, CAGR in the 8% range, ROS in mid-20s percent range, and ROIC in the 30% range. And next, the robotic business. This business will strive to achieve both growth and profitability by supporting a rapidly digitizing world and transforming mobility with our one-stop smart solution. We'll also invest 1.3 times more into R&D than we did in the last NDP. For capital investment, we completed our work to augment production capacity for our surface mounter and factory automation businesses last year. This is why for this new NDP, we will allocate 2.2 times the funding to the semiconductor backend equipment business. We will build up our human resources by hiring 1.2 times more engineers. In a surface mount technology business, we aim to take a place among the industry's top three players and expect market for automotive applications in particular to grow. We'll also strengthen not only our product development efforts but also sales and services operations in order to proactively secure new major automotive sector clients and EMS clientele. We project the ratio of automobile sector sales to surpass 30% by 2027. The semiconductor backend equipment business will be what drives the robotic business overall growth. By concentrating our management resources, cutting-edge semiconductor fields, and getting ahead of technological advances in industry, we'll strive to redefine our market. And in factory automation, we will offer automated solutions featuring greater integration with other products offered by robotics business. KPI for robotic business are to have by 2027 a CAGR in 15% range, ROS in the 17% range, and ROIC in the 15% range. And smart power vehicle, the SPV business was broke down due to having to make market adjustment and performance suffered. But we'll take advantage of the upturn in market conditions to stage recovery of our revenues and ROIC. We expect the market to grow by 8% every year over the medium to long term. During this new MTP, we'll review our business for selling complete Yamaha e-bike models overseas, something we have been focusing on for some time, and focus the business again on our e-Kits and Yamaha e-bikes for Japanese market. We'll dedicate 1.6 times more funding to R&D than we did in the previous MTP. Since we already have sufficient production capacity, capital investment for the SPV business will be 0.6 times that of the last MTP. For the e-Kits business, we will adapt a meticulously customer-oriented approach in order to win the trust of OEM clients. Specifically, we will develop the industry's best performing drive units and systems integrating with peripheral components, and we'll strengthen our key account sales capabilities and expand direct service functions. To accelerate these business reforms, we'll review and reform our supply chain and engineering chain to reduce supply lead times and raise development speed in order to rapidly respond to the needs of clients. Furthermore, to bolster these capabilities of the business, we will also employ M&As. The business KPIs for the SPV business are to have by 2027, a CAGR in the 15% range, ROS in 8% range, and ROIC in the 80% range. Now, OLV, outdoor land vehicle business, among the many companies around the world in the power, sports, and personal mobility industry, Yamaha Motor is the only brand that offers outdoor recreation products spanning the water to the land that customers can enjoy for a lifetime. We newly established the OLV business believing that the wide variety of products born from the wish of our founder, Genichi Kawakami, to make enjoying daily life commonplace would produce greater synergy that would be a unique strength for the company, especially in the North American market. In terms of the market scale, added value has increased and we expect the market to expand in the long term. To capture this market growth, we'll allocate 1.7 times more in R&D expenses than the last MTP and increase capital investment by 2.2 times. We will also bolster our human capital by increasing the number of engineers in the RV business by 1.2 times and by 1.1 times for the low-speed mobility business in both the RV and LSM businesses. We will develop a new platform that meets cross-segment needs and aim for a market share in the US of 9% for RV and 18% for low-speed vehicles used outside of course by 2030. The business KPIs 2027 will still be before the effects of launching these platform models manifest. We have set a CAGR in the 5% range, ROS in the 2% range and ROIC in the 3% range. Going forward, we'll carefully assess the efforts of market growth and the effectiveness of our integration strategy in the United States and decide whether or not to make additional investment in fiscal 2026. And I will explain how we will allocate cash. For this new MTP, we'll ramp up capital investment to build the foundations for business growth towards 2030 and promote digital transformation. To secure the in-house capabilities required to grow our business, we will look for M&B opportunities -- M&A opportunities. For large-scale projects in particular, we will make effective use of external financing in addition to our own funds. As for shareholder returns, based on our shareholder return policy, we will secure the necessary JPY215 billion in cash considering acquisition of treasury stocks as one option to that end. Next is how management will contribute to creating a more sustainable world. So first, I'll outline management approach to sustainability and then explain how it factors into environmental planning, human capital, and risk and compliance. We'll continue to take on challenges in our unique style as we always have been, and this will create new value for fund immobility, fulfilling lives, and harmony with the earth in order to achieve sustainable growth and enhance our corporate value. Now I'll explain the environmental plan. For us to exist in harmony with the planet, our plan is composed of three pillars, climate change, a circular economy, and biodiversity. As for climate change, we are working on reducing our greenhouse gas emissions. Regarding the Scope 1 and Scope 2 emissions, we'll introduce more renewable energy sources, switch to alternative fuels, reform processes, and more and more as we aim not only achieve a 74% reduction in 2027 compared to 2010, but also become carbon neutral by 2035. Also with Scope 3 category, 11 emissions, which is the use of sold products, we will move forward with the multi-pathway policy to reduce these emissions that include the development of high efficiency powertrains in-house and forming alliances and conducting M&As to gain external assets and knowledge. With the circular economy, we are aiming to be using 100% sustainable raw materials by 2050, and during this new MTP, we will raise the percentage from today's 14% to 18%. Lastly, for biodiversity, we'll harness the power of nature to solve issues in ways that benefit both people and the ecosystem, and do our utmost to preserve the environment. We'll also continue to invest in new technologies and businesses by leveraging sustainability fund from our corporate venture capital subsidiary established in Silicon Valley. Now I'll explain our human capital management policy. For us to create new value, each and every employee needs to be able to set and take on lofty goals without fear of failure and achieve personal goal. To that end, we have made global engagement a KPI for human capital management and will continue working to hit the positive score of 80% or higher across the global Yamaha Motor Group. For talent management, we will expand our program for training global hires. We will build a HR database globally and fund an integrated process, handling everything from discovering talent to conducting reviews to develop monozukuri or manufacturing specialist. We will aim to have factories managed primarily by production personnel and also provide those involved in our monozukuri operations opportunities for growth and diverse career path while helping them connect with one another. The maturity index for DEI varies by country and region, but we'll set KPI suitable for the stage each is at and move forward with the appropriate measures. The KPI for the group overall is to raise the ratio of women in management positions to 13% by 2027. The last slide concerns our risk and compliance management policy. It's based on three pillars of global, integrated and agile and identifies potential risks that may affect our management and business and is aimed at appropriately controlling them. Through these pillars, we will seek to quickly recognize changes in the business environment and globalize the delegation of responsibilities and authority to aid the group's management. Specifically, we'll reinforce our ability to quickly respond to risks accompanying changes in regional regulations and the environment by integrating risk and compliance management into our management plans in business strategies, including the pursuit of M&As and accelerating digitization. To that end, we will set up a new structure oriented around Chief Risk and Compliance Officer or CRCO in this new MTP. The first step will be to strengthen accountability by appointing a set CRCO and then deepening management deliberations by establishing a global risk and compliance management committee. And we will ensure effectiveness by deploying Risk and Compliance Officer or RCOs to major business regions and then increasing the agility by establishing a system in which each RCO reports directly to the CRCO. Thank you very much.
Yuuko Kurabe: Thank you. We'd like to end the explanation of our new MTP. If you're watching over YouTube, thank you very much for watching. Now we'd like to open it up to questions and answers. We would like to prepare if you could please give us a moment.
End of Q&A: